Operator: Good morning. Welcome to OTI’s Third Quarter 2014 Conference Call. My name is Manny and I’ll be your operator this morning. Joining us for today's presentation is the company's CEO, Mr. Ofer Tziperman; and the CFO, Mr. Shay Tomer; and Chairman of the Board and OTI America’s CEO, Mr. Dimitrios Angelis. Following their remarks, we will open up the call for your questions. Then before we conclude today's call, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call as well as information about the company's use of non-GAAP financial information. I would like to remind everyone that this call will be recorded and made available for replay via a link available in the Investor Relations section of the company's website at www.otiglobal.com. Now, I would like to turn the call over to OTI’s Chief Executive Officer, Mr. Ofer Tziperman. Thank you. Sir, you may begin.
Ofer Tziperman: Thank you, Manny, and welcome everyone. Thank you for joining us today. These are very exciting times for the cashless payment industry and OTI. Despite the delay of some orders we experienced in the third quarter, demand for our industry-leading NFC readers continues to be strong demonstrated by the 29% growth in nine months revenues. During Q3, we witnessed the long anticipated inflection point in the NFC payment market, which was spurred by Apple’s introduction of its NFC-enabled iPhone devices and more recently the launch of Apple Pay in October. With these new products, Apple has finally joined the ranks of other mobile device companies that already offer NFC-enabled smartphones. To a great extent our third quarter revenues reflected the uncertainty and let’s wait and see position taken by key major market players ahead of the iPhone launch, as well as the industry’s speculation about the devices potential NFC capability. This was then followed by questions around expected functionality of Apple Pay. However, it’s now clear Apple has standardized on the same NFC technology OTI’s product use, which has resulted in an unprecedented amount of internet for NFC readers and WAVE device. Apple’s adoption of NFC is a strong reaffirmation of OTI’s long-term vision and investment in NFC technology, as well as that of our partners and business customers. I cannot over estimate the overwhelmingly positive change in the payments industry we have experienced since Apple’s introduction of its NFC-based products and solutions. In fact, several large players in the industry believe that Apple’s decision to use NFC to support Apple Pay in its devices was the final missing piece to the NFC puzzle. Now before I get into discussing the progress on our various vertical segments, I’d like to turn the call over to our CFO, Shay Tomer, to take us through a more detailed discussion of our financial performance. Then I will return to talk about our operational activities and outlook. Afterwards, Dimitrios will provide an overview, an update on our patent portfolio and monetization activities. Then, we'll open the call for your questions. Shay?
Shay Tomer: Thank you, Ofer, and welcome, everyone. Earlier today we issued the results for our third quarter and nine months of 2014 in a press release. A copy of the release is available in the Investor Relations section of our website. Now to our financial results. Revenues for the third quarter of 2014 decreased 4% to $5.3 million from last year. The slight decrease was primarily due to a decrease in petroleum sale due to delays in tender processes. Looking at our quarterly revenues by source and a percent of total revenue, retail and mass transit revenue was $3.7 million or 70%. Petroleum revenue was $730,000 or 14%. Parking revenue was $530,000 or 10%. And finally, MediSmart and access control product revenue was $300,000 or 6% of total revenue. Breaking down Q3 revenue by geographic region and the portion of each regions contribution to total revenue. North America accounted for $2.3 million or 43%. Europe accounted for $2 million or 38%. Africa accounted for $700,000 or 13%. And finally, Asia accounted for $300,000 or 6% of our total revenue. Our revenues for the first nine months increased 29% to $17.6 million from the same year-ago period. The significant increase was driven by an increase in retail segment sales related to our NFC readers in the U.S. market. Looking at our revenues for the first nine months by source and their percent of total revenue. Retail and mass transit revenue was $11.8 million or 67%. Petroleum revenue was $2.9 million or 16%. Parking revenue was $1.7 million or 10%. And finally, MediSmart and access control product revenue was $1.2 million or 7% of total revenue. Now breaking down our nine months revenue by geographic region and the portion of each regions contribution to total revenue. North America accounted for $6.9 million 39%; Europe accounted for $5.5 million or 32%; Africa accounted for $3 million or 17%; and finally, Asia accounted for $2.2 million or 12% of our total revenues. Our gross profit in Q3 2014 decreased 13% to $2.6 million from $3 million in Q3 last year. The decrease was primarily due to the decreased revenues and change in our revenue mix. For the nine months period, gross profit increased 12% to $8.5 million compared to the same year-ago period. The increase was primarily attributable to the increased revenues partially offset by increased consumption of material due to the change in our revenue mix. Looking at our expenses, our operating expenses for the third quarter totaled $4.8 million, compared to $218,000 in the same year-ago period. It’s important to note third quarter of 2013 operating expenses were offset by $4.3 million in other operating income due to a write-off of a provision for termination for our former CEO and Chairman and the former President of the company following a settlement during the quarter. Excluding the other operating income in the year-ago period, our third quarter of 2014 operating expenses increased 7%, compared to $4.5 million last year. The increase was primarily attributable to increase in non-cash stock-based compensation and increase in selling and marketing effort in existing and new markets. For the nine month period, operating expenses totaled $15.5 million, compared to $9.5 million in the same year-ago period. The increase was primarily due to the $4.3 million in other operating income in Q3 last year and higher selling and marketing expenses designed to accelerate growth, partially offset by decrease in general and administrative expenses. Our net loss from continuing operation in the third quarter of 2014 totaled $2.3 million or $0.07 per share. This was compared to a net income from continuing operation of $2.6 million or $0.08 per share in Q3 2013. For the nine-month, net loss from continuing operation totaled $7.6 million or $0.23 per share. This was a decline from a net loss from continuing operation of $2.8 million or $0.09 per share in the same period last year. Adjusted EBITDA loss from continuing operation, a non-GAAP measure, for the third quarter totaled $1.5 million, compared to an adjusted EBITDA from continuing operation of $3.5 million last year. For the first nine-month, adjusted EBITDA loss from continuing operations totaled $4.2 million, this was down from an adjusted EBITDA from continuing operations of $22,000 in the same year-ago period. Now, turning to the balance sheet. Cash, cash equivalents and short-term investments at quarter end totaled $9.6 million. This completes my financial summary. Now I would like to turn the call back over to Ofer. Ofer?
Ofer Tziperman: Thank you for the financial overview. As Shay indicated, our third quarter results are a clear reflection of the sudden pulse the industry experienced prior to Apple’s launch of its next-generation iPhone device and its new mobile payment ecosystem, Apple Pay. Several of our new and existing customers delayed purchasing decisions during the quarter in order to see if Apple was going to join the NFC revolution or instead adopted an alternative technology. But not only did Apple go all-in by standardizing on existing NFC technology, they also went further to improve the mobile payment user experience. We believe that Apple Pay is now challenging the other payment players to match the functionality and user experience its unique NFC payment is offering. It is important to note that it is common view in the payment industry recently that the payment market is following the EMV contactless technology root. For example, just a little before the Apple announcement, MasterCard published compliance dates for the mandatory support of EMV contactless technology in all point of sale terminals deployed in the Europe region. The strict timeline is that new point of sale terminals must adhere to the new standard upon deployment from January 1, 2016. And existing point of sale terminals can be replaced at end of life cycle, but at the latest by January 1, 2020. This is a major mandate that together with Apple Pay adoption of contactless as the interface for mobile payment may force the industry to adopt contactless and NFC on the terminals and readers side. The first specific positive impact we have seen following Apple’s adoption of NFC-based technology is an unprecedented amount of interest in our line of NFC readers for the unattended and self-serve market. This was evident last week when we participated in two of the leading trade shows of the payment industry, CARTES in Paris and Money2020 in Las Vegas. Self-serve system operators across various unattended markets, including vending machine, laundry and car wash are eager to support Apple Pay users. These operators understand that Apple Pay is the new preferred payment system that is supported by major U.S. Banks and card associations. Clearly, it is also the interest of Apple to be supported by as many payment terminals and readers as possible. As we announced last month with two of our largest U.S. customers, USA Technologies and Cantaloupe Systems, all of the OTI NFC readers currently installed in the field are already Apple Pay compatible. In fact, OTI has one of the largest deployment of NFC readers in the unattended market that allows Apple Pay users to make NFC-based contactless payments with their iPhone 6 or iPhone 6 Plus and the soon to be released Apple Watch. We are also in discussions with other large prospective customers who are evaluating our line of readers. We expect to announce new major cooperation and implementations of our readers around the globe in the near future. In order to maintain our leading position in 2015 and beyond, our R&D team is focused on developing new readers and related products. Along those lines, we recently launched the UNO reader. UNO is an ultra-compact multi-purpose NFC reader for contactless payment that leverages OTI’s patented matched antenna technology. UNO is the ideal solution for meeting the complete range of NFC cashless payment industry requirements. The reader, which is in the certification process by the major card associations, was designed specifically for attended and unattended retail environments. UNOs special designs, ease of installation and competitive price point creates the perfect solution for the retail industry to take advantage of the NFC-based mobile payments revolution. UNO has opened large global markets for OTI and we’ve already hit the ground running with strong interest and demand coming from several major prospective customers who were allowed a sneak preview. We also recently completed the certification of our Trio Modular multi model reader, which all of the major card associations including Visa, MasterCard, AmEx, Discover and more. Trio is also compatible with other payment schemes like Apple Pay and Softcard which is the joint venture of NFC payment of the major U.S. mobile carriers. Next year, we plan to further expand our certifications out to China UnionPay in order to support the huge opportunity in the Chinese payment market. Our R&D team is currently working on our next-generation reader that will be released in 2016 and we believe it will be a major milestone in these unattended and self-service industry. I am really encouraged by our progress on the reader side as well as multiple opportunities on the horizon and I’m highly confident in our team’s ability to further capitalize on this fast growing NFC reader market. The future for our NFC reader has never been brighter than it is today. Given that all major players are now following the same NFC route, we believe this will be a major source for accelerating growth and revenues for OTI in 2015 and beyond. Another product we have seen a growing level of interest in since the launch of Apple Pay is our new patent-pending WAVE device. An innovative NFC device designed in the form of a small key fob. WAVE can work similar to any regular NFC card or can be plugged into the audio jack of any smartphone to enable NFC functionality. This is a revolutionary concept that has recently gained a lot of industry attention. In fact, our agreement with the banking consortium in Hong Kong has transferred into individual launching events of specific Hong Kong banks to their banking customers. There are hundreds of millions of older generation iPhones that are not NFC enabled. These devices must have some NFC bridging solution in order to participate in the NFC payment revolution, even if not specifically, the Apple Pay scheme. There are also millions of android phones without NFC capability. WAVE is a perfect cost effective solution to NFC-enable these devices. In addition to the Hong Kong agreement, we recently announced another North American financial institution that is piloting WAVE. We expect additional financial institutions to test the WAVE in the near future. I am often asked, if WAVE is a short-term solution until all new phones have NFC capability. We believe the opportunity for WAVE has long life. WAVE will continue to be a preferred solution for closed and open loop payment schemes even on NFC-enabled phones. For example, we recently partnered with Cubic for the integration of OTI’s WAVE NFC device into NextWave mobile mass transit platform. Cubic transportation systems is a leading integrator of information technology payment systems and services for intelligent travel solutions. According to Cubic, WAVE dramatically expends their capabilities for managing secure NFC-based transactions for the mass transit consumers. They also claimed that WAVE helps them fulfill the mission of their own platform, which is to help transit agencies deploy mobile services to market quickly and at a fraction of the cost associated with dedicated systems. Needless to say that this strategic collaboration is a result of a long sales effort and technical integration and we expect that it will yield first revenues in 2015. Another example is in the gambling market, we are currently marketing WAVE to Casinos operators, as the more secure and convenient slot machine payment solution than traditional barcodes or paper tickets. WAVE also allows Casinos to retain and engage customer even after they depart the facility by providing a seamless experience and benefits via a mobile application. This means, no more mandatory cashing out at the Casino exit gate. Casinos can build long-term and ongoing loyalty with the user on the casino’s branded WAVE device with the highest levels of security it offers. Another example of the many WAVE applications is in the internet shopping and cloud based secured accounts like Apple’s iCloud. WAVE can be used as a public key infrastructure or PKI device. That makes it second factor of authentication on top of the usual username and password that are clearly not sufficient anymore. This was recently evidenced by the iCloud celebrity scandal as well as in the security compromise at eBay and other large retailers. Clearly WAVE is far beyond just an NFC device. We are currently offering it in different market segments and expect to close more deals in 2015. It’s important to note that WAVE is a new product and we initially planned for shorter sales cycle. However, as we have made progress in our sales and marketing efforts, we have realized that it takes longer for potential customers to evaluate the device and then integrate it into their [permanent] (ph) products. The good news is that we already are in big discussions and dialogues with several major customers which we believe will translate into large orders in the very near future. Now to our Automated Vehicle Identification and Petroleum segment. We have continued to make good progress promoting our Automated Vehicle Identification and Petroleum payment solutions. In August, we announced multiple local government tender awards. Following these tender awards, our packaged home based and fuel truck solutions will be deployed to facilitate automated refueling at local government sites. Additionally, fuel trucks are being equipped to enable the automated refueling of other fleet items. We continue to participate directly and in conjunction with our strategic partners and distributors in major tenders worldwide. However, the decision making process takes time. But we remain confident we will be successful securing a number of new opportunities. Our strategic partner Tokheim, continues to make meaningful progress in the European market, where our solution has already been deployed in 14 markets. We have been particularly focused on the deployment for a prominent oil company across four markets in Europe. Pilot implementations for prominent, logistics, transport, and government entities with sizable fleets have been successfully concluded and implementations will be extended through the balance of 2014 and into 2015. As an integral part of Tokheim’s commercial fleet offering, our AVI solution reduces froth and improves fuel management. We anticipate the promotion of our solution across the markets where Tokheim operates will gain momentum in 2015. Our other strategic partner Wayne is also making good progress in the market. Although our AVI solutions has been deployed in conjunction with Wayne’s fusion pump controller in a growing number of markets, the decision by major retail oil companies to implement AVI across its network of fusion equipped service stations serves as both a validation of the strategic importance our relationship with Wayne and [ductile] (ph) of the integrated solution to customers. OTI PetroSmart’s distributors continued to secure new business in the retail, commercial and industrial sectors across various regions. Our AVI solution was recently deployed to automate refueling at liquid natural gas dispensers in China as well as compressed natural gas project in Eastern Europe. By establishing reference customers in new markets and extending implementations in existing markets, we continue to spread our reach and footprint. This ensures we’re well positioned to address the growing demand for automatic vehicle identification and payment solutions globally. Our MediSmart solution has been installed by our local partner, Smart Applications, at more than 3,500 points of service in East Africa. We recently enhanced this solution to more effective support cross-border access with currency conversion in multiple countries where the system is installed and to facilitate medical claim switching. MediSmart is now accepted as the de-facto process of accessing healthcare in East Africa. There is a significant opportunity to extend the implementation to bigger schemes such as local government and unions as the devaluation of government in East Africa takes effect. In our mass transit ticketing segment, our Polish subsidiary ASEC continues to generate a steady stream of revenues from its four mass transit ticketing projects in Poland. We’re working to expand our services in more municipalities in Poland and they’re looking for opportunities in other countries for the service. In addition, ASEC is currently involved in developing complimentary services and solutions utilizing our WAVE device that will be offered to our world-wide prospects. Turning to our parking segment, we have recently been advised by the operational company of the union of local authorities in Israel that they wish to grant a five years extension to our on-street parking physical action project in Israel. Since we commenced the project in 2000, we have sold more than 850,000 EasyPark devices and collected more than $165 million for the Israeli municipalities with over 100 million parking sessions. The fact that this innovative solution is still an attractive solution even 15 years after it was launched is outstanding, especially in our fast moving world where technologies turn obsolete in just a few years. As announced last week, our subsidiary PARX has secured a contract to supply our EasyPark parking management system to a major African capital. The first phase of the program is valued at $450,000 and includes the supply of equipment and services. The system implementation is expected to be completed by the end of Q1, 2015. Our local partner expect more than 300,000 drivers if the African capital will use the EasyPark system and EasyPark personal parking meter by the end of 2015. The program includes ongoing recurring revenues from parking fees and enforcement. This fit our strategy of focusing on Greenfield operations like we have done in Israel some 15 years ago, where we can secure sustainable growth and income for many years through collaborations with local parking operators. Our 20 years on-street parking management concession agreement in Albania is progressing towards the formal launch in early 2015 and we expect to close more cities there, after the first city of Elbasan. We are progressing with deploying more cities in our existing installations in Italy, France and Norway. We are also working on new tenders in Latin America, Europe, Africa and Asia. We expect to close more meaningful parking management contracts in 2015. All in all, we see that the combination of our EasyPark in-vehicle parking management device with our new EasyPark mobile solution is a winning combination that allows us a unique advantage in this market. Now, I would like to turn the call over to our Chairman and CEO of OTI America, Dimitrios Angelis, to provide an update on our patent portfolio and monetization activities. I will then return to open the call for questions, Dimitrios?
Dimitrios Angelis: Thank you, Ofer. From an IP monetization perspective, I’m also very encouraged about the increasing adoption of NFC in the mobile payment industry. We believe our '043 patent is a cornerstone of mobile devices used for mobile NFC payments under the prevailing standard. Accordingly, we are aggressively evaluating all of our options with (inaudible) IP portfolio. We are also continuing to pursue our case against T-Mobile. We are optimistic that court will rule in our favor on the pending motions and that the case will proceed to trial. Unfortunately, given the sensitivity and the sensitive nature of the ongoing litigation, there is nothing further I can say about this matter. However, we will continue to keep you updated on our progress monetizing our patent portfolio. Now, I’d like to turn the call back over to Ofer.
Ofer Tziperman: Thank you, Dimitrios. These positive industry developments have resulted in increasing interest in our suite of NFC solutions and expanding business pipeline for 2015. However, given the timing of Apple’s announcements, some of our customer purchase decisions were delayed as they awaited the confirmation of industry rumors of Apple’s adoption of NFC, until it was officially launched in October. So while the impact of Apple’s adoption of NFC is extraordinarily favorable to our growth and profitability, it shows them, in part, requires us to adjust our expectations for fiscal 2014. Our outlook is now 10% revenue growth in 2014 with our expected crossover to positive adjusted EBITDA pushed to Q3 2015. We’re very excited here at OTI with this opportunity and we’ll keep doing our utmost to make it a success for the sake of our shareholders. Now, with that, I’d like to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. (Operator Instruction) Our first question is from Mike Latimore of Northland Capital. Please go ahead.
Michael Latimore – Northland Capital Markets: Great, thanks a lot. Hi, Ofer, Shay, Dimitrios. So obviously, the Apple Pay announcement creates some unprecedented opportunities here. I guess in terms of what you are seeing from your customers, have they kind of got to the point now where they’re comfortable that there is going to be a major push behind Apple Pay and that they are kind of getting ready to sort of further deploy and maybe accelerate purchases at some point and I guess – or is it still in an analysis stage here where they’re analyzing different options, perhaps even things like royalty programs, that sort of thing. So I’m just kind of trying to get a sense of when they move from sort of analysis into maybe wider deployment, launching, that sort of thing.
Ofer Tziperman: Well it is quite amazing to see that it was almost overnight that the atmosphere changed completely in the market and since this announcement we have been approached, I would say, few times a week by major prospects that have shown interest in our – specifically in our readers and the reason is quite obvious. Everybody would like to be in a position that they can access iPhones as a payment method but that requires an infrastructure and that’s exactly what we are doing at least for the unattended market. So we are already, the amount of SDK kits that we have delivered in the last two month is greater than what we have delivered in the last two years. And I think that is a very good indication for the level of interest that we see in the market. So everybody realize that Apple is here for real. Everybody understands that the power, the marketing power of Apple to educate the market is beyond anybody else and that’s the reason that we see that as an unbelievable opportunity for OTI.
Michael Latimore – Northland Capital Markets: And how should we think about – you talked about SDK, [same on] (ph) two months over two years. What is the typical timeline between getting an SDK and making a decision and then sort of ordering product, let’s say.
Ofer Tziperman: Typically, it takes something like two to three quarters because it’s not only the initial evaluation but also the integration software wise with the point-of-sale terminal or with the vending machine or whatever. The faster ones are doing it in about three to four months. Those that are taking their time may do it in two quarters and maybe a little bit more. But that’s typically the ramp up period, assuming that they’re all making the buy decision.
Michael Latimore – Northland Capital Markets: Got it, and just from a competitive standpoint you guys seem to have increased your share a fair amount in last year. So can you just talk a little about what you’re seeing from a competitive standpoint? Do you see a high win rate continuing here?
Ofer Tziperman: Yeah, I would say that one of our claims to fame is that we provide the best price per performance with our line of readers. From the very early design stage, we are designing our solutions to be very competitive, also on the pricing point of view. And we’ve maintained – we plan to maintain this advantage in the market. That’s the reason, by the way, that we have managed to pave our way to be the providers of some of the largest unattended operators in the North American market. We are now repeating the same also in other continents like in Asia, like in Europe and it’s not that there are no other competitors around, but we definitely see that from a price per performance point of view, we are offering a very attractive solution.
Michael Latimore – Northland Capital Markets: And then just, I guess lastly, you mentioned a couple – I think you said, may be a couple of new customers you’re seeing around the globe for your readers. What’s the catalyst for that? Is it tied to Apple Pay or is it just broadly they wanted to deploy cash flows?
Ofer Tziperman: Well, as I’ve mentioned earlier, the Apple Pay definitely gave the market a very important tailwind, but the other large players like the card associations and I gave the example of MasterCard, that published this mandate that every new point-of-sale terminal that is going to be installed starting from January 1, 2016. That’s actually around the corner, must have contactless capability. And from being of 2020, they do not allow any reader not to have contactless technology, that’s a very strong statement. So clearly, within the next year or so, all the point of sale terminals in Europe will have to have or will start to have some kind of contactless interface. That’s exactly the market that we are aiming for both on the unattended market and also with our new UNO device, we can also connect to a counter top existing point of sale, which is not NFC-enabled and therefore to enabled it to work with NFC and contactless.
Michael Latimore – Northland Capital Markets: Okay, great. Thanks very much.
Ofer Tziperman: Thank you.
Operator: Thank you. The next question is from Edward Schwartz of Schwartz Investments. Please go ahead.
Edward Schwartz – Schwartz Investments: Good morning everyone.
Ofer Tziperman: Hi Ed.
Edward Schwartz – Schwartz Investments: Okay, there is a bunch of questions and most of them are pretty short. Where there any non-recurring expenses in Q3 that were expensed.
Shay Tomer: We had something like $200,000 or $300,000 of non-recurring expense, Ed.
Edward Schwartz – Schwartz Investments: Okay and will that continue into Q4 or will it be less?
Shay Tomer: I think that the Q4 will be approximately the same but we should – it will not continue to 2015 so sure. We will have other non-recurring expenses in Q4.
Edward Schwartz – Schwartz Investments: Okay. You talked about Europe, Asia, Africa, the Far East; what about South America?
Ofer Tziperman: That’s a good question. South America, we’ve hired the sales people that is starting to work on the ground. There are some technical issues in countries like Brazil, for example, that have some kind of different requirements when it comes to unattended machines. Just by way of example, they require to a FinFET on the machine as part of the authentication process, which complicates the implementation. So we are making good progress over there, but we have deliberately mentioned the other markets that are moving faster 
Edward Schwartz – Schwartz Investments: Okay, both you and Dimitrios talked about the standardization on existing NFC technology by the iPhone 6 in your comments. You’re both familiar with ISO/IEC 14443-A/B, the international standard for contactless smart cards. And if – would you say that Apple iPhone 6 is standardized the way it works around NFC, are they in violation of the ‘043 patent?
Ofer Tziperman: Dimitrios, would you like to refer to that?
Dimitrios Angelis: Yeah Ed, thanks for your question. Unfortunately it’s not – I can’t speak to that. That’s all I can say about that.
Edward Schwartz – Schwartz Investments: Okay. We’ll go back to the next question. Following Apple’s decision to utilize NFC, have you seen a change in your opportunity set in terms of potential deal size?
Ofer Tziperman: Yes absolutely, absolutely, both by the way on the reader side and on the WAVE device. The interesting point on the reader side is that the magnitude of our potential customers have grown drastically. So if before, they were some of the market pioneers that realized already two or three years ago that the market is going contactless and they started to position themselves accordingly and the large players are usually not doing that. They’re sitting on the fence and they’re then starting to move once the market is materializing in a certain direction. So from an opportunity point of view, by the size of the customers, we do experience, definitely a major change. That’s on the reader side, Ed. On the WAVE side, I think that the only thing that I can refer at this point is those two issues that we have already published. One is the fact that it is highlighted by financial institutions not only in Asia, but also in North America and again, the magnitude of this customers is beyond what we have been used to before and also our collaboration with Cubic. Cubic is the world largest mass transit system provider worldwide. And the fact that they’ve realize, fine, this is not something that is happening overnight, and we just publish it recently. But they took the WAVE and fully integrated it with their own suite of solutions. So right now, we expect that they are going to carry on with the marketing activities in order to bring this solution to the market. And that’s exactly the type of partnerships that we were looking for in the last year and a half in order to make sure that larger companies with larger marketing masses can take these products and introduce them to the market. And we expect to announce additional ones as we move forward.
Edward Schwartz – Schwartz Investments: Okay. You’ve announced some pilot programs that sound significant. What is the timing of when we should hear a decision whether they will go to commercial volumes?
Ofer Tziperman: I would assume that probably this is regard to some banking applications. We will have better visibility in the first quarter next year. With regard to the mass transit operations, I believe some were in the second quarter which means we will be able to start delivering anywhere between the second and third quarter on the various projects.
Edward Schwartz – Schwartz Investments: Okay. I realize that the company may be limited in what it wants to disclose specifically, but how should we think about the impact, the greater adoption NFC will have on potential litigation.
Ofer Tziperman: Dimitrios? 
Dimitrios Angelis: So I think, generally speaking, if there are damages awarded on the basis of NFC I think very generally speaking as NFC adoption spreads, so to what the number that’s based on – damages based on NFC adoption.
Edward Schwartz – Schwartz Investments: Okay. Thanks, Dimitrios. And maybe Dimitrios and Ofer, I don’t know who wants to answer the next one regarding the self registration, why would you do a deal with current prices, why not do a rights offering where all investors participating and you can avoid dilution?
Ofer Tziperman: Yes, I think that first of all, we think that shelf prospectuses is a good practice for a growth company like OTI and that’s the reason that we have filed it. If we will feel the need for a working capital or for any specific interesting opportunity, then we may move on and use it.
Edward Schwartz – Schwartz Investments: Okay, but – how about the second part of the question, why not do a rights offering where all the investors participate and you can avoid dilution?
Ofer Tziperman: We have the idea and we can discuss it internally.
Edward Schwartz – Schwartz Investments: Okay. There have been, over many quarters been significant [insider] (ph) buying and you used to have a 105(b) plan in place. Have those plans been canceled or are they still in effect?
Dimitrios Angelis: I’m not aware of any of them being cancelled, Ed.
Ofer Tziperman: Yeah, me too.
Edward Schwartz – Schwartz Investments: I’m sorry. I didn’t hear the answer.
Dimitrios Angelis: I’m sorry. It’s Dimitrios. I said I’m not aware of any of them being cancelled.
Edward Schwartz – Schwartz Investments: Okay. And going back to my second question on the standardization of existing NFC contracts, if the Apple iPhone 6 was in existence 2.5 years, three years ago with existing technology as it is today, would they be named in the T-Mobile lawsuit as a patent infringer?
Ofer Tziperman: Dimitrios?
Dimitrios Angelis: That’s difficult to say. I think the answer is, it depends.
Edward Schwartz – Schwartz Investments: Okay. Because I know in the pace of filings, you’ve named some other firms that have been – that were in violation.
Dimitrios Angelis: I think simple answer is the past. If at the time we had evaluated it and we thought it to infringe, the answer is yes.
Edward Schwartz – Schwartz Investments: Okay.
Dimitrios Angelis: If at the time we didn’t, the answer is no.
Edward Schwartz – Schwartz Investments: Okay. Thanks for taking the questions and best of luck.
Dimitrios Angelis: Thanks, Ed.
Ofer Tziperman: Thank you.
Operator: Thank you. (Operator Instructions) And the next question is from Jamie Fisher, a Private Investor. Please go ahead.
Unidentified Analyst: Yes. I got a question in terms of scalability with the future growth prospects. Do you guys see challenges as far as the infrastructure and being able to scale operations to meet that demands?
Ofer Tziperman: From what aspect? From existing infrastructure out there in the field?
Unidentified Analyst: No, basically from a manufacturing and production standpoint.
Ofer Tziperman: Okay. Okay, I think that since we are working with sub-contractors we’ve created, currently second source to all the main product that we are manufacturing. It takes a couple of months to support a third source or even more than that subject to the amount of orders that we will receive. So I would say that we will probably be able to supply any quantity that we will receive as an order given the time, but it takes to purchase the components and to manufacture, I think that this is not going to be a burial.
Unidentified Analyst: Okay. So as far as existing inventories and future orders are pretty much [synced] pretty well then?
Ofer Tziperman: Well, existing inventory is a different issue. Obviously, we want to maintain inventories only against concrete orders and we don’t have a policy that we have an off the shelf inventory. Given the nature of the products, we may need to make some small adaptations per specific customers and, therefore, we only manufacture per specific order that we have in the pipeline or we have against a concrete order.
Unidentified Analyst: Okay. So it’s basically a build to order type system?
Ofer Tziperman: Correct.
Unidentified Analyst: Okay. Thank you very much.
Ofer Tziperman: Thank you.
Operator: Thank you. (Operational Instructions) The next question is from Bob Schnell of Dougherty & Company. Please go ahead.
Robert Schnell – Dougherty & Co. LLC: Hello, gentlemen. I was wondering your thoughts around reader growth for the overall market in 2015 and 2016. And then in terms of EBITDA profitability, I’m guessing that you are going to be spending some more on sales and marketing, which may be part of the reason, which way that’s been pushed out, if you could help explain that too?
Ofer Tziperman: Yeah. So maybe I’ll start with the reason that we have pushed it back, that’s as we have explained, mainly because we have experienced a delay, which was unexpected initially. The market – I mean, everybody on the call that was in this market previously know that six months ago there were a lot rumors in the market that Apple may not go the NFC route and rather may go BLE and any other kind of technologies. So that actually brought the market almost to a complete stop at certain point. And people were taking a position of let’s wait and see what’s going to happen and then we’ll make our decision. So, thanks God, this is behind us and Apple went all the way in terms of NFC. What was the other part of the question? Sorry, Bob.
Robert Schnell – Dougherty & Co. LLC: Talking about the overall reader market in 2015 and 2016, I mean, you mentioned unprecedented interest in development kits being more than you’ve had in the past couple of years. So it seems like there’s potentially a large pent-up demand here entering 2015 and I know you probably don’t want to give OTI specific growth, but just wondering about the overall market growth that you are expecting next year.
Ofer Tziperman: Yeah, we think that from what we hear from some of the major players in the market, we see that in some cases they are doubling their demand for readers and for terminals. That’s the common thing that we hear from some large prospects. I don’t think that this is yet backed up by any concrete market research that we have seen that came out following the Apple announcement, but the reaction that we see in the market is almost doubling the amount.
Robert Schnell – Dougherty & Co. LLC: Okay. I appreciate it. Thank you.
Ofer Tziperman: Thank you.
Operator: Thank you. The next question is from Michael Fomook of Wolverine Asset Management. Please go ahead.
Michael S. Fomook – Wolverine Asset Management LLC: Hi, thanks for taking my call. I hopped on the call late, so if you covered this, forgive me. But could you talk about both the opportunities and any challenges you might have with regards to the adoption of the Europay terminals over the next several years. There’s just been a lot of discussion about how – there is great timing with respect to the adoption of the new terminals and embedding NFC, et cetera, and I just wondered from a competitive standpoint whether that improves your opportunity set or there will be larger competitors out there that might take some market share that you ordinarily would have just – if you didn’t have this large transition going on?
Ofer Tziperman: Yeah, so we actually gave the example of the MasterCard mandate to the European market previously. Needless to say that this is a major accelerator for the market and we actually see that as an immediate opportunity. The point is that OTI is trying to focus on our blue ocean, so to say, which is the unattended market. So, in the unattended market, I think, that we stand a very good position in comparison to the competition with both the performance of our solutions and, as I’ve mentioned before, with a very aggressive pricing. So we definitely see that as an opportunity. And for sure, there are going to be more competitors, but we believe that there are only very few companies with the length of experience as OTI have of 24 years and I think that our customers know to appreciate it. Both those that are buying our solutions or the off the shelf solutions and those that are buying our OEM solutions and benefit also from our services for integration to those systems. And from past experience, working in this environment is not obvious from technological point of view and we managed to overcome some obstacles with our patented technologies that other competitors are struggling with.
Michael S. Fomook – Wolverine Asset Management LLC: Just as a follow-up, is there a case where we might be burned a little bit because the validation of OTI’s technology might take a little bit longer than larger competitors’ technology, so we might set sales opportunity?
Ofer Tziperman: I actually do not see that happening because we are standing was ready-made and fully certified solutions on the starting line. So as we have recently announced our new TRIO reader for example, completed full certification by all the card associations, and again this is one of the major barriers, I should emphasize that. And we see even large competitors or large players in the market that are failing with this certification process. We are very experienced in that. We have our solutions already certified. Every new solution that we are bringing to the market, we start with certification. Even our WAVE device is already certified by Visa and MasterCard. So I don’t see any such situation. I think that we have off the shelf solutions that are ready to be sold.
Michael S. Fomook – Wolverine Asset Management LLC: Okay. Thank you.
Ofer Tziperman: Thank you.
Operator: We have no further questions at this time. I'd like to turn the floor back to management for any closing remarks.
Ofer Tziperman: Thank you everyone for joining us on our call today. I especially want to thank our investors for their continued support and patience. We look forward to updating you on our next call. Thank you. Operator?